Operator: Good morning and welcome to the First Horizon National Corp.’s Second Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ms. Aarti Bowman. Please go ahead.
Aarti Bowman: Thank you, Brendon. Please note that the earnings release, financial supplement and slide presentation we'll use in this call are posted on the Investor Relations section of our website at www.firsthorizon.com. In this call, we will mention forward-looking and non-GAAP information. Actual results may differ from the forward-looking information for a number of reasons outlined in our earnings materials and our most recent annual and quarterly reports. Our forward-looking statements reflect our views today, and we are not obligated to update them. The non-GAAP information is identified as such in our earnings materials and in the slide presentation for this call, and is reconciled to GAAP information in those materials. Also, please remember that this webcast on our website is the only authorized record of this call. This morning's speakers include our CEO, Bryan Jordan; and our CFO, BJ Losch. Additionally, our Chief Credit Officer, Susan Springfield will be available with Bryan and BJ for questions. I'll now turn it over to Bryan.
Bryan Jordan: Thank you, Aarti. Good morning everyone. I appreciate you joining us. I feel very good about the second quarter results and the progress that we've made, also very excited about the completion of our Capital Bank integration, which I'll touch on in a few minutes. Our results for the quarter showed steady loan momentum and continued strong credit quality. Our pipelines at the end of the quarter are very strong in fact they are up significantly from where they have been running the last six months. We're also pleased with our deposit trends. We saw very good momentum in our customer activity on the deposit side. You'll hear BJ talk more about our targets long-term in later in the slides, but we hit an 18% ROE in the quarter and close to 1.25%, I think the 1.22% ROA for the quarter. And both of those are right at where we expect to be for the next couple of years. And so we're excited about the progress there. I mentioned the Capital Bank integration. We completed the integration on Memorial Day weekend, the systems integration on Memorial Day weekend of -- I think which month -- May, and very pleased with that a lot of work went into it, a great deal of effort over the last several quarters, really going back almost a year with planning operating models and then conversion, integration, testing and so on and so forth. Very, very pleased with the results of that integration we had very strong support for our customers and feel very good about the way that all came together. It was a huge team effort and I really do appreciate the effort of all of our bankers and technologists and so on and so forth that pulled that off. In the next couple of years, we're excited about the ability to realize on the synergies and the opportunities that the Capital Bank integration and the Capital Bank merger. The Capital Bank markets are outstanding and we think they put us in some of the best markets in the Southeast if not in the country. And we'll be focused over the next couple of years on capitalizing on those opportunities and continuing to improve our business models assuring the best customer experience that we can deliver to customers, enabling us to really grow the business organically and profitably over the next several years. We think we have a great opportunity to continue to deploy capital in these growth markets and these organic efforts particularly in the Carolinas, mid-Atlantic and upstate South Carolina so we're excited about that. We are all -- I think, we’re well positioned to deliver strong returns over the next couple of years. You'll hear more about that from BJ. And we think we're going to continue to operate in a very strong economic environment for the foreseeable future. We think we're in great markets and we think we have a position -- a franchise that’s positioned very, very well for good growth over the next couple of years. So with that, I'll turn it over to BJ and I'll come back to take a few wrap up questions before we take some comments later. BJ?
BJ Losch: Great. Thanks, Bryan. Good morning, everybody. Let's start the review of the financials on slide five. For the second quarter in 2018, the reported EPS was $0.25 and $0.36 on an adjusted basis. The difference between reported and adjusted results in the quarter were mostly merger related expenses, and the impact to those on both pre-tax and after tax income as well as EPS are shown on the bottom right of the slide. The accelerating adjusted EPS growth up 6% linked quarter or 24% linked quarter annualized was just what we expected based on our continued organic business momentum, strong net interest income growth and net interest margin expansion and the increasingly impactful EPS contribution from the Capital Bank merger. Starting with the positive NII and NIM trends, NII grew 3% linked quarter and the NIM expanded by 10 basis points to 3.53%. Even excluding the positive impact of purchase loan accretion, NII was up 2% and the core NIM expanded nicely by 6 basis points to 3.33%. We accomplished this net interest income and margin improvement through continued pricing discipline with strong loan betas continuing to more than offset increasing deposit pricing pressures. Continued balance sheet growth also helped in the quarter, with loan and deposit growth up 1% and 2% on an average basis respectively linked quarter. Importantly, non-interest bearing deposits were up 2% on an average basis and 3% period-end, reflecting our continued focus on growing our relationship deposit base. Our balance sheet is strong and our intentional focus on managing the totality of the margin, which includes optimizing the growth and mix of our loan and deposit portfolios, along with appropriately pricing our loans and deposits continues to work to our advantage. Expense discipline remains strong across the franchise. As expected, we realized $12 million of merger related cost saves in the quarter and expect this number to continue to increase each quarter throughout the next several quarters. Credit quality remains excellent with no provision in the quarter. Only $2 million of net charge offs and Capital Bank credit performance continuing to be strong as expected. Speaking of the Capital Bank merger. Let's turn to slide 6 for an update. We remain more confident about the deal today than when we announced it last year. And we're pleased with how it's going and adding meaningfully to our strategy and financial performance as well as growth. As you can see, we now estimate EPS accretion at more than twice the original announcement, due to great execution on things that we can control like higher cost saves and tangible revenue synergies, as well as benefitting from tax reform. As we previously discussed and Bryan just mentioned, we completed our systems conversion over Memorial Day weekend and we're ready to roll with growth in our newer markets. Our cost saves are right on track. We achieved $12 million of cost saves in the second quarter. And if you do the math that means we have roughly 55% of the $85 million in cost saves in the expense run rate today. So a lot of earnings power already captured, but also more earnings growth to come. Our revenue synergies really accelerated in the second quarter, we have now generated $17 million of annualized revenue synergies, up from first quarter’s amount of $5 million, representing a significant increase in number of deals from 36 deals closed or in process in the first quarter to now 306 at the end of the second quarter. The revenue synergies are largely driven by expanding customers and products in three main areas. Number one, through Capital Bank referrals to our specialty banking business lines. Number two, bigger balance sheet capacity to serve customer relationships in both the Capital Bank and First Tennessee franchises. And number three, consumer lending and mortgage opportunities on balance sheet. Turning to slide seven, as I discussed earlier, we saw a strong net interest income growth and net interest margin expansion in the quarter. And this slide gives you a bit more context and color on that. Stepping back and recognizing the significant improvement we’ve seen over the last five quarters is impressive. If you look at the bottom right hand chart from 1Q, 2017 to 2Q, 2018 our reported NIM has expanded 61 basis points from 2.92% to 3.53% and our core NIM is up 41 basis points 2.92% to 3.33%. Those increases are driven by balance sheet growth, net benefit from short-term rate hikes as our loan priced faster than our deposits and the additional benefit of purchase line accretion, particularly related to betas. It’s important to remember that there are two types of betas loan betas and deposit betas. And since the beginning of the rate hike cycle our loan betas have 71% have far outpaced our deposit betas of 32% and the deposit beta number includes a large increase that we saw in the current quarter. And as we discussed on our first quarter call, we saw the anticipated increase in deposit pricing competition. And also as we discussed on the first quarter call we responded appropriately to keep our pricing, specifically our relationship pricing competitive and commensurate with the long term nature of the relationships we like to build with our customers. Managing mix and pricing holistically like this across the entire balance sheet allowed us to again expand the net interest margin and we will continue to look to do so. Turning to loan growth on slide eight, we are pleased with the good net loan growth we saw in the quarter despite making some intentional moves with the balance sheet. Total loans were up 1% on an average basis and 2% period end despite intentional moves to optimize the balance sheet that created a growth headwind of about 1%. Our specialty banking areas again demonstrated strong growth. We especially saw strength with loans to mortgage companies where we’re gaining market share of 32% on a linked quarter basis. In addition, our restaurant franchise finance business saw a strong 5% linked quarter growth on strong deal closings, as did our healthcare businesses up 7% linked quarter. Private client also saw a strong linked quarter growth of 5%, from a revenue synergy perspective this is where the adoption of Capital Bank’s in-house mortgage platform across our entire franchise has helped to boost our consumer lending capabilities and on balance sheet growth. Our loan portfolios in Tennessee continue to show steady growth and our efforts in middle Tennessee in particular continue to gain momentum where we posted 4% loan growth linked quarter. As expected our loan growth in our Capital Bank markets was somewhat slow due to the merger integration and conversion activities in the first half of the year. With what we see in the pipelines, we expect that growth will start to improve in those markets in the back half of this year. The 1% growth headwind I mentioned was created by intentionally running off another $60 million of non-strategic loans, selling $120 million of sub-prime auto loans acquired through the Capital Bank merger and exiting another $150 million of low relationship value loans year-to-date. All of these growth numbers and the repositioning of loan book demonstrate our continued focus on improving economic profit. And we will continue to grow profitable relationships and products to improve our portfolio mix. Moving on to asset quality on slide nine, credit trends remain excellent. Provision was zero in the quarter and net charge-offs were at only $2 million in the quarter. We saw a 32% decline in criticized loans to pass grade mainly from an upgrade of approximately $310 million of TRUPs loans. And we continue to expect the credit environment to remain benign for the foreseeable future. Slide 10 gives you a sense of just how much growth and profitability and improvement and efficiency has occurred over the last several quarters. While our steady improvement on key bonefish metrics as well as EPS growth was good before. The combination of continued strong momentum in the existing First Tennessee business, the addition of Capital Bank and its associated financial benefits, and tax reform have all worked together to accelerate our growth trajectory. Looking at our performance over the last six quarters starting just before the Capital Bank merger was announced, and seeing the excellent improvement in key bonefish metric shows the tremendous growth we've seen. Adjusting for the merger related costs, our core operating performance is very strong. EPS in 1Q, 2017 was $0.23. Today we reported $0.36 of adjusted earnings, an increase of 57%. Return on tangible common equity was 10.3% in 2016. Today, our adjusted ROTCE is 18.2%, an 800 basis point improvement. Our ROA is up 40 basis points from 87 bps to an adjusted 1.22%. Our net interest margin is up from 2.92% in 1Q, 2017 to today's 3.53% total NIM, up 60 basis points or up 40 basis points on a 3.33% core NIM. And our efficiency ratio has improved from 72% to 65% adjusted with more cost saves and improvement to come. With more cost saves, revenue synergies and growth to come, we will continue to improve our profitability and growth profile. So wrapping up on slide 11, our second quarter performance was very pleasing to us and very strong and we're pleased with the trajectory that have provided for us the rest of the year and into 2019. And our key priorities over the near-term are clear. We will deliver on our higher earnings accretion from Capital Bank via the cost savings and revenue synergies. We will maintain strong performance across our markets and build momentum with our newer organic growth opportunities in the Carolinas and Florida, and we will continue to enhance relationships to drive customer acquisition and retention. With that, I'll turn it back over to Bryan.
Bryan Jordan: Thank you, BJ. Again, I'm pleased with our second quarter results and excited about our momentum going into the second half of 2018 and 2019. Thank you again to all our employees and customers for their dedication. As we've made the changes need to build and expand our platform. And thank you to our team for all the hard work they did in completing the integration. To those of you that had an opportunity to participate in the perception study we completed recently. Thank you for that that will be useful feedback for us. On November 6th, we will hold an Investor Day in Nashville and hope that many of you will be able to join us in person if not via conference call. We'll be providing more information about our strategy and execution plans at that conference with our executive team in attendance. So I hope you put that on your calendar. With that Brendon we’ll now open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Steven Alexopoulos from JPMorgan. Please go ahead.
Steven Alexopoulos: Hi, good morning, everybody.
Bryan Jordan: Good morning, Steve.
Steven Alexopoulos: I wanted to start on expenses, which came in above at least where we were looking for this quarter. Given the additional costs saves that were realized and the capital markets revenues were down quarter-over-quarter. I'm trying to better understand why adjusted expenses increased a bit? Was there anything unusual in the quarter? And was this above your internal forecast?
BJ Losch: Hey, Steve, it’s BJ. Now, this was right on our internal forecasts. There's nothing special about it. There were several smaller things pension costs assumption adjustments and some strategic hires and some incremental costs related to that as well as several other smaller items, but nothing out of the ordinary. We believe that our expense discipline remains very strong across the franchise. And so, we expect that our expenses will continue to be flat to down as we’re realizing more of our cost saves.
Steven Alexopoulos: Okay. So, going forward BJ, we should just build off the $285 million adjusted and then put in the additional cost saves, that’s a good base?
BJ Losch: Correct, correct.
Steven Alexopoulos: Okay. And then on the margin, I didn’t think you disclose this, what was the scheduled versus accelerated accretion in the quarter?
BJ Losch: If you look Steve, on slide seven, it gives you the total accretion. We would have expected probably around $10 million of scheduled accretion. And so, there was obviously about $8 million of unscheduled accretion.
Steven Alexopoulos: Okay. So about half of the 21 basis points?
BJ Losch: Yes, that’s right.
Steven Alexopoulos: Okay. And then, BJ, the yield curve is getting pretty flat. How do you think about the NIM, like core NIM moving forward?
BJ Losch: Yes, so, I think we’re incredibly pleased with what we saw in this quarter. And so, if you look at it over the last really since the beginning of the rate hike cycle, we have proven out the asset sensitive balance sheet that we thought we had with our loan betas re-pricing far faster than our deposits. And if you look over the last couple of years and what we’ve done, we have been able to keep deposit rates very low. But as we talked about, deposit competition has been heating up. We responded appropriately as we talked about doing. We’ve got to manage this company for the long-term to keep our relationships with our customers strong so that we can even grow further. And so, all of that competition heating up and we still expanded the core NIM by 6 basis points in the quarter. That’s really, really good performance and serving of our customer relationships across our company. If you look forward on our core NIM, you’ve got to start with taking out what we saw from the sub-prime auto sale, which we have on slide eight, where we exited loan portfolios that we thought was not within our risk profile and not strategic for us. That had about a 5 basis point impact on the margin. And so, if you start there, we think the rest of the year based on what we’re seeing in our pricing discipline on the loan side as well as the deposit side that we can continue to see the core margin expand by maybe a couple of basis points throughout the rest of the year.
Operator: Our next question comes from John Pancari with Evercore. Please go ahead.
John Pancari: Good morning.
Bryan Jordan: Good morning, John.
John Pancari: On the capital markets business, just want to see if you can comment a little bit more around the impact on the ADR, came in particularly low this quarter. What do you see in there and what’s your outlook there? What type of improvement should we expect or do you think that it could remain down here for the while?
BJ Losch: Hey John, it’s BJ. It’s tough market for fixed income. All the headwinds that that business could possibly face are occurring. The direction of rates is not helpful; the level of rates is still low. A positive economy means more interest in equities and loan growth versus fixed income and there is very, very little volatility. So, it’s just tough market. The positive thing for us is that it is what it is. The regional bank earned right through it. We continue to grow our EPS as a franchise. And one day FTN is going to help us again like it helped us in the past, but that day is not today. So, we’re continuing to focus on the banking business and the great strength and on growth opportunity we have there and we’ll continue to earn through any headwinds we have in the fixed income business.
Bryan Jordan: Hey John, this is Bryan. I would add to what BJ said, it is a difficult and low volatility environment and seasonally the second and third quarters are a little bit slow, I guess because of the summer month. We don’t expect a tremendous amount of improvement in the back half of this year. But as BJ said, it’s still a business that we think is a nice fee income business. This turbulence that we have with the unwinding of QE, the flat yield curve, Fed raising rates will pass and will get back to a more normal interest rate environment. Don't ask me to put a calendar on the wind, but I don't think it's forever. So I think you shouldn’t expect a whole lot of change, we'd expect some modest improvement in the back half of this year, but it wouldn't be a tremendous amount.
John Pancari: And on that point, what is breakeven for the business when it comes to ADR? Are you losing money at this level? And then separately, at what point do you think about strategic options for it? Are you at that point at all, or is this something just long-term that you -- it's par for the course and you are in it for the long-term?
Bryan Jordan: Well, yes, and for the quarter, we had a slight loss. I think it was down between $700,000 and $800,000 of pre-tax net loss for the quarter. So it's not a whole lot of $10,000 or $20,000 a day put you back into breakeven. So, yes, it was a little bit of tiny drag in the quarter. In terms of the business in the long-term, you never say never, but as we look at the business and we look at the interest rate environment that we're in and the fact that we've been in this business well over 80 years. We like the business, it's fee income win and we think we have an expertise and a market-niche that will be very valuable overtime. And the other thing to keep in mind is this is a countercyclical business when the interest rate environment and the economy turns because of the interest rate environment this business is very strong. And if you think back about of the results in 2008 and 2009 you saw the very countercyclical benefits. So one way to think about it is in some ways it's a hedge to credit cost going back up. So we look at the business, we look at the capital we have allocated in and we look at the leadership and the product and our market positioning. And while it's not performing where we would like it to be today, we're not intent to just not focus on that, we're working on controlling costs and improving results. We don't think it’s a break the glass situation.
Operator: Our next question comes from Michael Rose with Raymond James. Please go ahead.
Michael Rose: Hey good morning. Beginning of the call you mentioned that loan pipelines were up pretty significantly over the past six months. Can you just give us some color on where you're seeing the strength and what the potential headwinds could be as we move in the back half of the year anymore strategic or portfolio sales? Thanks.
Bryan Jordan: Yes, Susan, will you take that?
Susan Springfield: Sure, yes we're seeing some very good strength in our loan pipelines. One thing too I would note the month of June in terms of new production was the strongest month we've had this year. So in addition to the pipeline for the second half of the year, we saw some really good production the last month of the quarter. Mid-Atlantic is particularly strong in terms of pipeline. We're also seeing strong pipelines out of our specialty businesses, Middle Tennessee, Houston. So we're pleased with the pipeline. CRE also has a strong pipeline. You asked about potential headwinds that would be the one area in terms of pipeline headwind, in terms of commercial real estate. Although the pipelines are strong, we did see our pull through rate on commercial real estate drop just a little bit, but that's because of the discipline we have in that business where we look at the risk-adjusted profile and the underlying structure of those credits. So we continue to book new business in commercial real estate. That's the one area, I think we'll watch due to the heavy competition as it relates to pricing structure.
Michael Rose: Okay. So assuming all else equal, should we expect or anticipate similar levels of loan growth, net loan growth over the next couple of quarters?
Bryan Jordon: Yes, we still expect the mid-single digits in loan growth, yes. Michael, this is Bryan. I'll add to Susan's comments. It really -- I was in [indiscernible]. I guess it's hard to describe the amount of energy that goes into completing the integration and the inward focus that's required for that. And Susan said, we saw it picking up as we got closer to the integration complete that June was stronger. The pipelines were up now and they're probably close to 20% from the six months average. So we feel good about the sustainability of loan growth at this point.
Michael Rose: Okay. And then maybe just one more follow-up, just as it relates to some of the deposit strategies you guys have talked about in the Florida market specifically, where do you stand with that? And how much more could we expect to see in terms of deposit specials campaigns things alike? Thanks.
BJ Losch: Yes, so it’s BJ in the second quarter like I talked about like we telegraphed in the first quarter, we took some actions at the beginning of the second quarter to increase our relationship pricing. So for the higher tiers particularly around money market pricing we moved those up so $50,000 and up. We made fairly meaningful moves in our pricing to retain customer relationships and start to grow them. We’ve had 90% to 95% retention rate on those balances since those moves, which has been excellent. We’ve also instituted some acquisition pricing particularly in our newer markets like South Florida or Mid-Atlantic, little bit Middle Tennessee to again look to acquire new customers with an emphasis on getting the checking relationships obviously as well. And so we’ve seen good success out of that, good feedback from our customers and we expect that that will continue to allow us to grow. I don’t think that we’ll see quite the deposit beta quarter-to-quarter that we saw this quarter. But -- so it will come down, but we will continue to respond appropriately to protect our customer relationships. And again I’ve to look at the totality of the margin, deposit betas is one piece of it. We have 26% of our deposit mix in non-interest bearing DDA that is a tremendous help and our sales people continue to focus on serving customers in a core way with relationship checking deposits. And to the extent that we were going to serve those customers from a rate perspective or money market perspective we will do so. But in the context of the larger relationship and we will continue to look to expand the margin appropriately by leveraging the asset sensitive balance sheet on the loan side that we’ve got.
Operator: Our next question comes from Casey Haire with Jefferies. Please go ahead.
Casey Haire: Thanks good morning. Wanted to follow-up on the deposit strategy, it was my understanding that you guys would lean into some of your new markets with some promotions and acquisition type pricing. But I thought the other part of that was to get some positive mix shift on the funding side and pay down some of the borrowings and market index, which are obviously higher cost and obviously the short-term borrowings were up. Just wondering what the outlook is for some of your higher funding cost categories?
BJ Losch: Hey, Casey, it’s BJ. Yes so as Bryan talked about South Florida is one of our main areas so we think that we can really create some meaningful headway over the next couple of years to grow deposits there in a way that we can replace the market index deposits and build customer relationships down there, be aggressive and actually improve our overall deposit mix. But as you know the first half of the year our people in South Florida were very focused on taking care of customers, doing merger integration and merger conversion activities. So we had to give a little bit of time for them to be able to do that. As I just said that we did institute some aggressive pricing, particularly in South Florida in the second quarter to help start to get our name out there, give our sales people something to acquire customer relationships and sell. And we’re confident that organically we can do that going forward over the next several quarters. But again it’s going to take a little bit of time and we’re confident that we can do that.
Bryan Jordan: Casey, this is Bryan, to BJ’s point we converted the systems on Memorial Day weekend, but as you can imagine the next two or three weeks are very intense periods of customer service where you get two things going on, you’ve got customers who are trying to deal with the differences in statements and online banking and mobile banking and technology, a lot of folks visiting the branches and you’ve got a tremendous number of people who’ve done a lot of training on new systems who are now using those on a day-to-day basis. So we had a heavy ambassador program. So we had a lot of intense activity in our branches really until the middle to -- call it the middle of June. So as BJ said, we're really just now in the position to start leveraging some of those strategies in the back half of this year.
Casey Haire: Okay. So you do expect those borrowings to work down in the back half of the year and that's baked into your core NIM expansion?
Bryan Jordan: We will continue to try to shift deposit mix more towards customer deposits, absolutely.
Casey Haire: Okay, great. And just to clarify on the loan growth front, the $150 million of strategic exits in the sub-prime portfolio from CBF. Is that -- have you picked off everything that you don't want from CBF, or is there more opportunities for these types of headwinds going forward?
BJ Losch: In terms of aggregate portfolios and portfolio sales, that's probably correct. What we also doing is making sure that we're focusing on profitable growth opportunities with core relationships. And we'll continue to do that. That’s just good management of company and its relationships and the balance sheet. So that kind of stuff will continue, but discrete bigger loan sales. I don't see any at this point.
Bryan Jordan: Anything you see going forward ought to be transaction-by-transaction.
Operator: Our next question comes from Robert Placet with Deutsche Bank. Please go ahead.
Robert Placet: Yes, hi. Good morning.
Bryan Jordan: Good morning.
Robert Placet: Just question on the new markets you picked up with Capital Bank specifically the Carolinas and South Florida. I guess what are your ambitions in those markets just in terms of size and presence there over the medium and then over the longer term? I guess do you foresee yourselves getting significant larger kind of in those markets over the next couple of years?
Bryan Jordon: Yes, this is Bryan. We are really excited about the opportunity that the Capital Bank markets present to us. They are outside of Tennessee. They are very much look and feel a lot like the markets who are custom to serving you do have to argue that some of them are growing very, very rapidly. And so we're enthusiastic about just the dynamics of the expanded footprint. We're excited about the positioning that Capital Bank had in those markets and feel good about our ability to build off of that. Some of that is our ability to bring additional products and services and BJ talked about some of that when he talked about revenue synergies earlier. But bringing our treasury management products, bringing wealth management and overlaying a broader product set. While our branch footprint and branch density in those markets starts by necessity at a lower place. We don't think that branch activity will be the big driver or branch density will be the big driver of our ability to grow in those markets. We will be as we have said in the past, very strategic and looking for bankers that we can bring on to the platform that we can leverage the footprint that we have that we can grow in a targeted fashion and do it in a way that produces high quality services and products for our customer base and allows us to continue to expand and build on the momentum that Capital Bank had started to generate. So as we look at those markets, we think that they will be our primary focus over the next couple of years. Just aggressively building our business through customer acquisition and bringing in strategic hires to capitalize on the footprint and the opportunity it present. So in a word, we're excited about it.
BJ Losch: I'd also add. We have really good blueprint for how to grow in lower share markets that have great opportunities. Nashville and Middle Tennessee is a great example of how our company has already done it. Four, five years ago we started with an intentional plan to be different in that market versus the other markets where we had number one market share. And in five years, we far outpaced the market growth in terms of loan and deposit growth and the balance sheet is 70% larger than it was five years ago. And our name and our recognition and our ability to track talent is far greater today. We can transport that exact blueprint to Raleigh, to South Florida, to Charlotte, to Greensboro, North Carolina and that's exactly what we intent to do.
Operator: Our next question comes from Ken Zerbe with Morgan Stanley. Please go ahead.
Ken Zerbe: Great, thanks. First question, just with the capital markets business and I am looking at page 13 of your supplement, can you just remind us like how much of those expenses are actually variable? Because I guess with the fall off in the revenues, I would have expected more or a lower non-interest expense to go along with that, it looks like the only way down a couple of million dollars despite a much larger revenue decline?
BJ Losch: Yes, so Ken, it's BJ. About 75% I believe of the expense base there is variable, but you get to a point where there is just not much more you can do to move it down. And Brian alluded to earlier the leadership team out there has done an excellent job taking out as much fixed cost as we possibly could. The variable costs, obviously hurts in terms of our sales people, but that's the way the model work, so our variable compensation has come down. But at some point there is a fixed level of costs, that’s very difficult to get out. And as was asked earlier, what's the breakeven ADR, we're at about it right now, it’s just a very difficult market. The management team is doing a great job trying to manage through it. Like I said before, when that comes back, we will see the expansion in our revenues much faster than the expansion in our expenses and it'll be help to us but just not today.
Ken Zerbe: Got it. Okay. And then switching gears, just in terms of the interest bearing deposit beta, I calculate an 89% deposit beta there, I suspect going into the quarter, you probably want to predict it an 89%. But the question really is, as we look forward to next quarter? And I understand the reasons why it was high this quarter, and some of the actions you're taking this quarter. But on a go forward basis, if the market does remain competitive, if what -- is there anything that would stop the beta from theoretically being 89% again next quarter? Thanks.
BJ Losch: Hey Ken, it's BJ. So we would have absolutely expected this beta this quarter. That's why we talked about it on the first quarter call, I actually said inflection point in deposit competition and that's what we saw. I think if you look back on that slide. The reason we show since rate hikes, is that, there wasn't a lot of moves at all and we could be very disciplined based on what we saw with our customer relationships and the discussions that we had and the competition et cetera, we are very intent on watching that and trying to optimize the profitability of the company with building long-term relationships with our customers. So said a different way, we had 87% [ph] interest bearing deposit beta in the quarter. If we've had, 10% 15% increases since the beginning of the rate increase cycle, we'd be having a different conversation. We just started to see it really in earnest over the last couple months. We responded appropriately, but I'll say it again, we managed the net interest margin, which includes the loan mix, the deposit mix, the deposit betas and the loan betas. And as a testament to our people and the pricing discipline, we expanded the core margin by 6 basis points, even with knowing that we were making an investment in our deposit relationships. And we think that we can continue to expand the margin because of our asset sensitive balance sheet on the loan side. And because we're going to manage deposit beta smartly.
Bryan Jordan: As we’ve said earlier in the year, I think is in our first quarter call. We had seen a tremendous amount of lag that have been created industry wide. And as we really moved into 2018, we started to see that lag come out, and you're experiencing some of that. So the beta in any one quarter maybe higher or lower, depending on how that moves. But as BJ said we measure it or usually manage it in concert with the margin and in some sense betas are like loan growth percentages for a short period of time, we can manage them to anything. You can give us any target and we manage it to that, but you wouldn't necessarily like the balance sheet loan-term. We take a long view of that and we want to make sure that we’re pricing our liabilities, our deposit base in a competitive fashion that recognizes and rewards the relationships with customers and builds long-term relationships and stability in that deposit base. So while anything is theoretically possible I suppose we don’t expect betas to run at that level as we move into the back half of this year.
Operator: Our next question comes from Brady Gailey with KBW. Please go ahead.
Brady Gailey: Hey, good morning guys.
Bryan Jordan: Good morning, Brady.
Brady Gailey: So I know we’ve already talked about accretable yield but -- and I know that the prepayment accretion can be hard to forecast. But total levels were $18 million this quarter that was up from about $14 million last quarter is $18 million what you would consider a good run rate for the next couple of quarters or do you think that will get back down closer to the 1Q level?
BJ Losch: Yes, it will come back down, the interesting dynamic looking at this and for those of you that have followed accretion, particularly in the first couple quarters it’s very, very difficult to get a beat on exactly where it’s all going to settle out. And so in the first quarter we actually had 21% more loan payoffs and therefore accretion coming through unscheduled in terms of actual loans. But this quarter we had three loans that were large in size, just three that drove the majority of the increase between the $14 million and the $18 million. So we do believe that that $18 million is going to come down. And we expect scheduled accretion more in the $9 million to $10 million a quarter range and the difference between that number and whatever we print over the next couple of quarters is going to be the unscheduled accretion. I think the other thing to keep in mind is when we see unscheduled prepayments in a loan payoff that rate mark is really the income that’s coming back in terms of accretion. But going forward, if we replace that, which is really not at a market rate, with a market rate loan in some of the growth markets that we’re talking about, we’re actually net improving our core net interest margin by doing so. So we’re getting the benefit of accretion today, and we’re also going to get incremental benefit loan-by-loan on that accretion tomorrow because it’s going to come back in the core NIM at a higher rate. So we continue to manage this closely, it’s real income and we think there’s a lot of opportunity both there and in our core growth going forward.
Brady Gailey: Alright. And then I mean, just looking at the stock price it’s down I think 13% or 14% year-to-date, you all have not repurchased any stock in 1Q or 2Q and I know it’s tough, I mean, you’re sitting here with the TCE ratio of 6.5%, but just updated thoughts on how you think of a buyback from here?
BJ Losch: Yes, so one thing I will mention is we did actually retire 2.4 million shares in the quarter so you’ll hear our period end shares go down that’s in effect the buyback it’s related to dissident shareholder matter that we took care of and chose to retire those shares. So that’s in affect a buyback of 40 some million dollars. But going forward quite candidly we do think that there’s opportunity to look at share buybacks given where we’ve traded. And so we will look to do that as we go forward we’ve got plenty of capacity and authorization from the board. We think our capital levels are strong, commensurate with the balance sheet that we have. And so, yes, where we’re trading that certainly is an option for us that we’re going to aggressively look at.
Bryan Jordan: Brady, this is Bryan to add to that, as I’ve alluded in my opening comments we think that that with our focus on organic growth opportunities over the next couple of years the excess capital that we can deploy in the businesses, in the markets that we’ve talked about earlier is by necessity going to be put into the program to repatriate that capital to shareholders. So in our view the stock price has gone on sale a bit and we think there will be opportunities to retire it. As BJ said, we have an opportunity to retire roughly $40 million or so worth of stock this quarter and we’ll look for opportunities to buy some stock back over next couple of quarters as well.
Operator: Our next question comes from Marty Mosby with Vining Sparks. Please go ahead.
Bryan Jordan: Good morning.
Marty Mosby: Thanks. And I appreciate the timing; I could actually participate this quarter. So, I was excited that you moved it back just a bit. Bryan, I want to ask you a question because this has been something we’ve dealt with Huntington and with KeyCorp as they’ve gone through this purchase accounting accretion. And what you see is that right now you’ve got this $18 million, which is temporary, eventually that goes away as they convert to the loan portfolio. But what everybody on the outside kind of sees as $18 million that’s a hole that just evaporate. When in reality what it is in my mind almost an acceleration of the accretion that you get from expense synergies, but you still have $12 million of in revenue synergies, which BJ you mentioned even just as you move the loans over, you get the incremental net interest income. So, timing wise as that $18 million kind of runs down, it seems like the $12 million would be able to at least buffer going back to the $10 million run rate pretty quickly because that $12 million will be here in the next several quarters and then the revenue synergies. I just want to make sure you kind of thought of that concept the same as I just outlined it?
Bryan Jordan: Yes, Marty, I’ll start. This is Bryan. It’s -- as BJ said, the accretable yield is always one of the difficult thing to estimate and always difficult to talk about in these integrations and rates have moved higher since we did the marks. And as BJ said, as a loan prepays, you’re replacing it with an asset at a higher yield. So, in essence, you’ve got the accretable yield that’s flowing through and I guess that’s bringing through a little bit of future period earnings. As you suggest, I think BJ has got a slide in the deck that shows cost savings to-date, I think we’re at $12 million. I think it shows in the $16 million area over the next couple of quarters moving to the $22 million range, get it in the $85 million threshold next year. So, on a quarterly basis, we’d expect another $10 million in cost savings on a quarter run rate by the time we get to this time next year. So yes, I think you can put the two off. I think the accretable yield create some volatility around net interest income that is sometimes hard to talk about and may be more difficult to model than anything else in the income statement that we have today. But as BJ alluded that will level out over time. I think the most important part not to lose, the most important point not to lose is the fact that our core NIM was up 6 basis points. That excludes accretable yield this quarter and last quarter. If you just look at the core improving the profitability of the balance sheet is our objective and we feel very, very good about the progress we’ve made there.
BJ Losch: And Marty, I would also add kind of to your point, I think it’s a great way to look at it because it’s looking at the forest through the tree. You’ve got -- we’ve got accretion that’s coming in that’s real income that we’ve already paid for, that’s benefiting our margins. It’s offsetting softness in our fixed income business that will eventually come back. We’ve got multiple growth opportunities that are strong in the specialty businesses. We’re about to ramp up growth opportunities in the Carolinas and Florida market. So, this speaks to the balanced business model that we’ve got such that we’ve got multiple levers that can play off each other that in aggregate continue to give us growth opportunity from an EPS perspective, a balance sheet perspective and a revenue perspective and I think it’s important to keep all those components inside.
Marty Mosby: And then BJ, when you look at the opportunities for margin expansion, it’s interesting because you have -- you do have the capital markets area. And if you look at the trading asset line where you see the yield, it’s about 100 basis points higher than the securities yield, which the trading account is the current yield where banks are buying bonds today because it turns over every quarter and the securities portfolio is a conglomeration of over time. That opportunity over the DDA is that you talked about is kind of the rounding up effect. How do you think you can kind of close that gap? And would you be willing, because you have the stiffness of the curve between the real short end versus the two year be willing to go up the curve the points from your liquidity and take advantage of what the yield curve is giving you, which is the -- you don't have to go much pass two years to get almost everything you can out of it. So couple of things there that I think could also create some earnings levers to your margin as you go over the next year?
BJ Losch: Yes, so it's a good point Marty. Lot of our trading balances right now are really related to our SBA loan and our coastal loans held for sale. So they're part and parcel of running that business. Quite candidly I think we'd rather deploy our excess liquidity into profitable loan relationships where we can and we think we have ample opportunity as we’ve talked about across all of our businesses. And so I think most likely we'll look to continue to deploy those there in opportunities in the Carolinas, Florida, Tennessee and the specialty businesses.
Operator: Our next question comes from Jennifer Demba with SunTrust. Please go ahead.
Jennifer Demba: Thank you. Question on specialty lending those have grown nicely for you over the last several quarters. Could you give us a sense of what the balances are in each of those operations? And the kind of growth you're looking for in the next one to two years there are well?
Susan Springfield: Hi, Jennifer, this is Susan. I'll walk through that. As we said earlier, we do think our specialty businesses have some good growth opportunities. In terms of healthcare, our healthcare grades are roughly in the $700 million range, again good opportunities there both on the kind of core healthcare and also sponsor baked healthcare. As it relates to asset-based lending a business that we've been in for over 30 years, which performed very well during the downturn. We're about $1.9 billion in terms of balances there. We feel like there is great opportunities in asset-based lending for us. We continue to focus on asset-based lendings and factoring relationships. And it's a very well-run business with good growth opportunities. Mortgage warehouse lending, as you know was up. It's a strong performer for us is $1.9 billion in terms of balances. Also want to point out that in mortgage warehouse lending, we continue to grow that customer base as well. If you look at the number of clients in mortgage warehouse lending, we're up almost 17% in terms of numbers of clients’ year-over-year in mortgage warehouse lending. We're also continuing to call them as customers for deposits. So we believe it's a business that can become even more important for us as it relates to raising deposits. Our energy business, while it's still at a relatively low level in the Houston market. It's about at the two third $230 million. Good business for us. It's one where you need to be disciplined, which we remain disciplined in that. So we do see some really good opportunities strong pipeline there. Franchise finance continues to be a good business for us. It showed actually 11% quarter-over-quarter average balanced growth that is a pretty well run business. And we continue to look at the metrics there. I believe there will be some good opportunities. We are watching some competition do some things that we may not want to compete against, but we're still finding good opportunities to grow. So those are really our core and in commercial real estate I talked about earlier. We're roughly flat in our commercial real estate portfolio kind of year-over-year quarter-over-quarter. That's adjusted obviously for the Capital Bank transaction. But we again, we've got a strong pipeline in commercial real estate. We're continuing to do good business with existing customers and some new to bank customers brought on by our capital partners. So we feel like it's still a very important business for us the one we really remain disciplined as it relates to portfolio diversification in terms of product type and geography. So overall specialty banking continues to be incredibly important for us and one that we support.
BJ Losch: I'll also add Jennifer just for future reference. If you look at Page 15 in the Appendix of the earnings slides in the upper left hand side, it breaks out our average regional bank commercial loans, which were in aggregate $16 billion. So we give the other percentages there that breaks down all of our different specialty businesses if you want that for future reference.
Operator: Our next question comes from Geoffrey Elliott with Autonomous Research. Please go ahead.
Geoffrey Elliott: Good morning, thank you for taking the question. Maybe a quick one on the NIM and the core NIM comments you’ve given specifically just so we’re all clear, so 3.33% in 2Q takeout 5 basis points from sub-prime also to get to 3.28% and then build up a couple of basis points over the rest of the year to kind of 3.30ish at year end. Is that what you’re saying I just want to check everyone has kind of got that message right or am I following something wrong?
BJ Losch: That’s right.
Geoffrey Elliott: And then on the capital side…
BJ Losch: That means margin expansion is what we’re talking about on a core basis.
Geoffrey Elliott: Got it. And then on the capital side can you remind us where you stand in terms of Visa shares could you sell some of those to some buybacks given that you kind of feel the stocks on sale right now?
BJ Losch: Yes, so we’ve still got about I think $1.1 million of Visa B shares so if you just looked at conversion rates relative to A share it’s maybe worth $240 million, $250 million pre-tax so pretty substantial what I call contingent common equity that’s on our balance sheet at zero. So it’s not free to trade. We look for opportunities to be able to monetize that and we’ll continue to do so. But that’s good dry powder if you will for us either buyback our own stock as we discussed before, add to our capital levels. So to me as a CFO that always sits at the forefront of my mind when I'm looking at our TCE to TA or our CET1 or our total capital ratios, I consider that very much a part of what our capital structure is and we look to optimize it. So we’re now long-term holder that’s fairly a Visa, but we want to make sure that we get the appropriate value out of it for the company and for our shareholders.
Operator: Our next question comes from Brock Vandervliet with UBS. Please go ahead.
Brock Vandervliet: Hey, good morning thanks for taking my question. Wanted to just cover credit you had this tailwind pretty consistently of very low or negative or zero provisions, can you give us any sense of when that becomes more normalized and what we should be looking at here going forward?
Susan Springfield: Sure as you know, we’ve had the benefit of the run-off in the non-strategic portfolio and that portfolio continues to perform well in addition to the fact that it’s running off. So we’ve had reserve releases in the non-strategic portfolio that have continued to offset some provision that we’ve had in the bank. I will note that the level of reserves in the core bank remains steady quarter-over-quarter. We continue to see excellent asset quality across the board. So I’ll point out a few things in the regional bank you’ve got some things in your slides on overall company, which includes non-strategic. We talked about non-performing assets being down 9%, total core they’re down 14% quarter-over-quarter in the regional bank so very, very strong. We also saw some positive grade migration. The regional bank which is inclusive of the Capital Bank merger, we had non-pass loans decline by 7.5% quarter-over-quarter. As you know our net charge-offs remain very, very low. We do believe at some point not in the foreseeable future because everything looks very, very strong with numbers like I’ve just reported at some point you could see credit normalize again. The point in time we start to see that as we saw grade migration that would factor into our Triple L models in terms of average loss rates you would see us take the appropriate action to increase that provision. But for now we’re seeing excellent credit quality across the company regional bank and again the continued strong performance and wind down in non-strategic.
Operator: Our next question comes from Christopher Marinac with FIG Partners. Please go ahead.
Christopher Marinac: Thanks. Good morning. I know we could all debate the precise calculation of deposit beta. But I was just thinking that the number cited by an earlier caller was a little high. So, just was curious if the moves on deposits this quarter kind of buy you flexibility for the beta to be a little bit more moderated in the next quarter or two. Just given what we're saying so far in Fed funds.
BJ Losch: Hey, Chris, it's BJ. So thanks for that clarification. Depends on what denominator you’re using for Fed effective rate, so we would have seen it lower one too. The short answer is, yes. As we talked about earlier, we think the deposit betas won't be as high as what we saw this quarter because it was more of a step up. If you look back over the last several quarters of our deposit rates stayed particularly in consumer interest, they are relatively flattish, it’s very modestly up over the last couple years. And then we had a meaningful increase when we started to see increased deposit pricing competition. So it was a stair step. We don't think that it’s necessarily a stair step from here going forward, based on what we're seeing with customer relationships, our competitive positioning, our ability to grow, et cetera. So yes, quarter-to-quarter, we think the deposit betas come down, but we will always respond appropriately to protect our relationship balances. So it'll be a wait and see, but again going back to the margin, we are very focused on managing the totality of the margin, and that's what we're going to focus on regardless of what we have to do with deposit betas. We're going to protect our customer relationships.
Christopher Marinac: Great, that's helpful, thanks for that. And just a follow-up on the kind of bonefish ROA, I saw from June that the upper end is now 1.45%. What does it take to get there and I guess looking out a few quarters, how confident are you that it's achievable at that upper end?
BJ Losch: Yes, so we think it's very achievable at the upper end. And that's what we're striving for, as Bryan talked about, we're very nearly after one quarter of putting out those updated near-term targets, we're close to the bottom level of that already. And based on our growth trajectory that we see, costs saves continuing to come in, revenue synergies being realized. We think that -- and the credit environment continuing to remain benign. We think that we're going to continue to March towards that 1.45% over the next, let's say 12 to 24 months.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bryan Jordan for any closing remarks.
Bryan Jordan: Thank you, Brendon. Thank you all for participating on the call this morning. We are very excited about having systems integration, the integration completed and moving into the execution phase. We feel very, very good about our positioning in our new markets and the opportunities that we have to grow with our markets and our customers. Again, I appreciate the tremendous commitment and dedication and hard work of our folks all across the franchise to complete the systems integration. Please feel free to reach out to any of us if you have any further questions or need any additional information. With that, thank you and hope you have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.